Randall Giveans: Thank you for standing by, ladies and gentlemen, and welcome to the Navigator Holdings Conference Call for the Second Quarter 2025 Financial Results. On today's call, we have Mads Peter Zacho, Chief Executive Officer; Gary Chapman, Chief Financial Officer; Oeyvind Lindeman, Chief Commercial Officer; and myself, Randy Giveans, Executive Vice President of Investor Relations and Business Development here in North America. I must advise you that this conference call is being recorded today. As we conduct today's presentation, we will be making various forward-looking statements. These statements include, but are not limited to, the future expectations, plans and prospects from both a financial and operational perspective and are based on management assumptions, forecasts and expectations as of today's date, August 13, 2025 and are as such, subject to material risks and uncertainties. Actual results may differ significantly from our forward- looking information and financial forecast. Additional information about these factors and assumptions are included in our annual and quarterly reports filed with the SEC. With that, I now pass the floor to our CEO, Mads Peter Zacho. Please go ahead, Mads.
Mads Peter Zacho: Thank you. Good morning, and good afternoon, and thanks a lot for joining this Navigator Gas Earnings Call for Q2 2025. As I start, I'll just review the key data on our Q2 2025 performance and then go over the outlook for the rest of the year. After that, as usual, Gary and Oeyvind and Randy will discuss our results in more detail. Geopolitical backdrop for our Q2 result was certainly unusual and very difficult. Ahead of and during the quarter, we experienced a number of significant challenges, including the announcement of U.S. port tariffs, unprecedented high import tariffs on commodities that we transport, ethane export licenses, which were effective export bans, and new military conflicts flaring up, including the bombing of Iran's nuclear facilities. Several of the conflicts receded during and after Q2, but the effect on our customers and our business during Q2 brought a lot of uncertainty, disruption and hence, lower trade volumes. The quarter also brought new opportunities such as ambient temperature LPG exports out of Iraq to Asia and the opportunity to buy back our own shares at a high discount to our estimated NAV. So this was a quarter of shipping at its worst and at its best. Please turn to Slide #4. With that background and moving to our results. In Q2, we generated revenues of $130 million, down 12% compared to the same period last year. This reduction is the direct result of customers halting new business and for a time, even in some cases, canceling committed fixtures with us, for which we still got paid. However, notwithstanding the backdrop, we generated EBITDA of $72 million and adjusted EBITDA, which excludes a $12 million book gain from selling Navigator Venus of $60 million, and that showed really the resilience of our business. Earnings per share was $0.31. The gain on the sale of Navigator Venus gives credence to the estimated net asset value. We did a lot of work optimizing our capital structure during the second quarter. The balance sheet is very strong with a cash position of $287 million at quarter end. It was supported by the $300 million refinancing, which was signed and drawn down as planned and at the lowest margin ever for Navigator. The return of capital continued in Q2 with both the $0.05 fixed dividend and a share buyback up to, in combination, 25% of net income. We also progressed the additional $50 million share repurchase program, completing $30 million in Q2 and the remainder in July. So done and dusted, 3.4 million shares bought back at an attractive price. Randy will elaborate on this one in a few minutes. Commercially, we achieved average TCE rates of $28,216 per day during Q2. This is lower than the approximately $30,000 achieved in previous quarters. We achieved utilization of 84%, also lower than prior quarters. Our ethylene spot fleet was impacted the most, whereas the semi-ref fleet fared better. Throughout throughput at our joint venture Ethylene Export Terminal rebounded to 268,000 ton for the quarter, which was more than 3x Q1, but still below full capacity. We are pleased to announce the two 51,500 cubic meter dual-fuel ammonia vessel orders and the associated 5-year time charter contracts. The combination of attractive yard prices, the grant from the Norwegian authorities and expected attractive financing makes this transaction accretive to shareholders and strengthens Navigator position in the ammonia supply chain. It's also an important step in our gradual fleet renewal and goes hand-in-hand with our sale of older vessels like Navigator Venus. We expect to be able to report more sales of older tonnage and associated book gains as the year progresses. Looking forward, we also expect that most of the headwinds that we saw in Q2 are gone. Global trade in commodities we transport have restored during July and into August. So today, we see utilization and rates returning to normal levels. We expect LPG exports from Iraq to Asia to continue, and we expect ethylene exports from U.S. to Europe and ethane exports from U.S. to Asia to continue. The latter will be further supported by the opening of Enterprise's new Beaumont terminal that will free up more ethane export capacity. This means more business for our ethylene and ethane vessels. Of course, trade discussions between U.S. and its trading partners continue and much can still change. But with our diversified customer base, trading capability and strong balance sheet, we remain resilient even if geopolitics take an unexpected turn. So now over to you, Gary, and talk a little bit more about the details on our financial results, please.
Gary Chapman: Thank you, Mads, and welcome, everybody. During this quarter, as Mads mentioned, we've seen a number of geopolitical announcements and events across the world that have affected our markets that we were not able to predict or foresee at the beginning of the year or indeed some of them we were not able to predict at the beginning of the second quarter. However, I'm very pleased to report that despite the unpredictability that we've experienced, we're able to report a healthy set of results, not as high as we would like, but focusing on our strengths, we've been able to maintain solid progress in many areas across the quarter, and we believe we're also able to look forward to a strong second half of the year. Our second quarter 2025 financials show a healthy result due to the quality, diversity and flexibility of our fleet and business, which allowed us to maintain charter rates and utilization at profitable levels, supported by our operational efficiency and cost controls. On Slide 6, we report TCE of $28,216 per day, leading to a quarterly net operating revenue of $129.6 million and an EBITDA of $71.9 million. Our lower TCE this quarter came about primarily due to the performance of our ethylene vessels across the quarter, stemming from the trade licensing and tariff-related issues that Mads has already mentioned and that Oeyvind will also cover. Whilst our fully refrigerated handysize fleet also did not perform so well, we only have 6 vessels in this category. In contrast, our semi- refrigerated and midsized vessels performed almost as normal throughout. So overall, the quarter was affected by certain specific global issues that we do not believe are long term, and we're seeing a bounce back already in our third quarter performance to date. We sold one of our oldest vessels, as mentioned, the Navigator Venus for net proceeds of $17.5 million, resulting in a strong book gain of $12.6 million in the quarter. And excluding this from EBITDA as the main difference, we get to an adjusted EBITDA result of $60.1 million. Hence, the vessel sale in this quarter made up for the sequential drop in earnings, leaving EBITDA for this quarter at $71.9 million, broadly in line with our first quarter 2025 results. Then for the reasons we've already covered, utilization was 84.2% in the second quarter, down 9.2% compared to the second quarter of 2025 -- 2024, sorry. You will see that voyage expenses have decreased by $1.9 million compared to the same quarter last year, mainly due to lower utilization in the second quarter this year as these are pass-through costs to our customers, hence they're reflective of the decrease in operating revenue. Vessel operating expenses were up compared to the second quarter of 2024 at $47.4 million, with the increase primarily driven by the increase in our fleet following the purchase of the 3 secondhand vessels in the first quarter of this year, which you can see is reflected in the table shown bottom right, as well as simply the timing of maintenance costs incurred during the 3 months ended June 30, 2025, compared to the same period in 2024. We do currently expect to close the year on or close to budget for our OpEx costs adjusting for the extra vessels. Depreciation is also slightly up compared to previous quarters due to our now increased fleet. Unrealized movements on non-designated derivative instruments resulted in a loss in the second quarter of $1.4 million. This being related to movements in the fair value of our long-term interest rate swaps, which affects net income, but which has no impact on our cash or liquidity. Our income tax line reflects current tax and mainly deferred taxes primarily derived from our investment and share of profits in our ethylene export terminal at Morgan's Point. Randy will shortly explain more about the terminal throughput volumes in the second quarter, but they were up to 268,000 tons from 85,000 tons in the previous quarter, resulting in us reporting a profit this quarter of $4.8 million. Then overall, for the second quarter of 2025, net income attributable to stockholders was $21.5 million with basic earnings per share of $0.31. Our balance sheet, shown on Slide 7, continues to build and be strong with a cash, cash equivalents and restricted cash balance of $287.4 million at June 30, 2025, which if you include our available but undrawn liquidity was $316 million at the same date. This is despite paying out $26.4 million for scheduled loan repayments, $6.8 million under our return of capital policy in respect to the first quarter of 2025 and a further $29.6 million of share buybacks as part of the new $50 million share repurchase plan. Our liquidity in the quarter was boosted by the $40 million bond tap issue that was settled in early April, the sale of the Navigator Venus, which completed in May and the debt refinancing that we drew down in mid-June 2025, which added $142 million of net liquidity. Including our available but undrawn revolving facilities, we had $314 million of cash, cash equivalents and restricted cash at close on August 11, 2025. On Slide 8, we show a summary of the main capital events across the quarter, where with a very supportive banking group and a strong underlying business, we were able to return capital to shareholders, extend our debt maturity, boost our liquidity and reduce our finance costs. We completed our latest share repurchase program on July 30, 2025, having bought back $50 million of our common stock, and Randy will also provide some more details on this shortly. We continue to pay out under our return of capital policy at a level of 25% of net income. And we sold one of our oldest vessels, the Navigator Venus, as we've mentioned, for net proceeds of $17.5 million, resulting in a book gain of $12.6 million. Also in May, we entered into a new senior secured term loan and revolving credit facility of up to $300 million that was used to repay the company's existing September 2020 and October 2023 secured outstanding loan facilities of $143 million and $15 million, respectively, and thereafter be available for general corporate purposes. The facility has a tenure of 6 years, maturing in 2031. Amounts outstanding bear interest on a quarterly basis at SOFR plus 170 basis points, and the facility is secured by 8 of the company's vessels. And then following our successful issuance of $100 million of new senior unsecured bonds in October 2024, which at the time closed with the lowest spread for an unsecured U.S. dollar-denominated shipping bond in the Nordic market since 2008, we took advantage of favorable market -- and on March 28, 2025, we successfully issued a further $40 million tap of our bonds, which also priced at 7.25%, which funds settled with us in early April, right at the start of the second quarter. The borrowing limit under the bonds is $200 million. Hence, a further $60 million is available to us as the aggregate principal amount to be issued by the company under the bond term should we choose to do so in the future. We now have only 2 relatively small debt maturities due in the next 24 months with balloon payments due in 2026 of $54 million in total. On the right-hand side of this slide is a summary of our main debt movements across the last quarter, which also demonstrates our progress in reducing our cost of debt, which is ongoing and which is possible due to the strength of our business and the confidence in Navigator of our banking partners. Our next priority is to close finance in relation to our now 6 newbuild vessels, and this work is already ongoing with several options being pursued. We're currently targeting to complete this work within the next 6 months. On Slide 9, our leverage against earnings remains in a strong position with net debt to adjusted EBITDA at 2.7x for the last 12 months to June 30, 2025. In the quarter, we returned $36.4 million to shareholders through a combination of cash dividends and share buybacks. And by the end of July 2025, that figure had risen to $56.8 million as we completed our new $50 million share repurchase program. We also made substantial loan repayments of $26.4 million in the quarter, as mentioned, and our net debt to on-water fleet value, i.e., loan-to-value ratio was 34%. And if you include the ascriber value to our terminal at Morgan's Point, that ratio falls to below 30%. As we have shown before, we're continuing to make substantial debt repayments with around $124 million of average annual scheduled debt amortization payments expected across the coming 3 years, 2025 to 2027, to manage our financial risk, but whilst also still being able to raise more capital to invest and to grow. On Slide 10, this remains one of our most important slides showing our estimated all-in cash breakeven for 2025, which at $20,270 per day is significantly below our average TCE revenue even for this slightly softer second quarter of 2025 of $28,216 per day, the difference being nearly $8,000 per day. The all-in breakeven rate shown here is materially unchanged from the estimate we provided on our last earnings call back in May 2025. And this estimated cash breakeven figure is all in and includes forecast scheduled debt repayments and our scheduled dry dock commitments. On the right-hand side is our updated OpEx guidance for 2025 across our different vessel size segments, ranging from $8,050 per day for our smaller vessels to $11,100 per day for our larger, more complex ethylene vessels. This guidance is unchanged from our last quarterly call in May 2025. And following below is further next quarter and full year guidance across vessel OpEx, general and admin costs, depreciation and net interest expense in total dollar terms. The full year guidance for vessel OpEx towards the bottom is now slightly lower in total than the previous guidance given in May 2025 as we have one less vessel across the remainder of 2025. Net interest expense is also a little lower than the previous guidance given in May 2025. Slide 11 outlines our historic quarterly adjusted EBITDA, having the second quarter's figures and demonstrating that whilst this quarter was not another record due to the political issues we've discussed, particularly impacting our ethylene and ethane capable vessels, still remains a very positive result. On the right-hand side of the slide, we show our historic adjusted EBITDA for 2024 and our last 12 months adjusted EBITDA. In addition, the EBITDA bars then to the right provide some sensitivity and illustrate an increase in adjusted EBITDA of approximately $90 million for each $1,000 incremental increase in average time charter equivalent rates per day. In terms of an update on our vessels dry dock schedule, projected costs and time taken, we've moved this slide to the appendix as although this is important information, the slide itself is quite data heavy. On this topic, we're continuing to invest in our energy and fuel saving initiatives, which we believe are great investments to make, both for financial and environmental reasons. where they're also typically showing very short payback periods. So with that very quick run through, I will hand you over to Oeyvind, who can provide some more color on the commercial environment that we have seen and what we are seeing today. Oeyvind?
Oeyvind Lindeman: Thank you, Gary, and good morning, everyone. Let's turn to Page 13 for the rate environment. Despite market uncertainty and various geopolitical curveballs, the handysize market actually held up pretty well during the second quarter, all things considered. The handysize ethylene 12-month time charter rate stayed steady at around $36 per day or $1.1 million per month. Semi-refrigerated rates dipped a little, settling at about $30,000 per day and fully refrigerated rates saw the largest correction, ending the period at $25,000 per day. We only have 6 out of our 58 vessels in that segment, 3 of them on time charter, so the overall impact on us was small. Two things worth keeping in mind. Firstly, as you can clearly see, these rates are well above our all-in-fleet breakeven of $20,270 per day. Secondly, having 3 vessel categories gives us great diversification, spreading exposure across petrochemicals, LPG and ammonia and cushioning us against market swings. Historically, we see external factors impacting the 3 markets in very different ways, and this was the case in the second quarter. Page 14, earnings days. We always show our earnings days mix in our presentations. And this time around, LPG really stands out for this second quarter. When the U.S. ethane export license slowed down demand for our ethane-capable vessels, other parts of the fleet benefited from incremental demand elsewhere in the world. In this case, for more LPG exports from Iraq, we added 3 extra vessels into that trade during the quarter, pushing our fleet LPG earnings days to a 2-year high, almost matching that of petrochemicals. This is a real example of how the fleet versatility kicks in. One market is down, another one is up. Another good sign, as you can see to the far right, is our July utilization, which was -- which hit 90%, suggesting the market is settling into a more normal steady state. So between the diversification and this normalization, our earnings are already looking healthier. Page 15, utilization. The top left graph illustrates our 5-year highs and lows for our fleet utilization. You can see the green dotted line representing year-to-date dip in the second quarter for reasons that Mads and Gary already mentioned. But as you can see, it then rebound 5 points in July. We have always maintained that any utilization above 90% represents quite a healthy market, and we are in this zone today. The other graphs show the benefits of diversification. LPG employment is growing in our semi-refrigerated segment, and utilization is rising across all 3 vessel types. Page 16, ethane. Ethane and ethylene exports from U.S. makes up a fair portion of our petrochemical vessel demand. And it makes sense then to address the ethane export license restriction and its immediate and short-lived impact. Firstly, let's take a step back and look at why U.S. ethane matters. The U.S. has a major cost advantage in producing ethylene from ethane, matched only by the Middle East. European and Asian naphtha-based producers are placed much higher on the cost curve. So for them, importing U.S. ethane or ethylene can dramatically improve their cost position and sustain their operations. China is the largest buyer of U.S. ethane. When the export license requirement came in effect during May and June, trade to China essentially stopped. But it was short-lived. Exports rebounded in July, hitting a record high. Almost immediately, new spot requirements for handysize ethane vessels were quoted in the market. In addition, that same month, Enterprise newly constructed Beaumont ethane export terminal began operations. Extra terminal capacity means more demand for ships like ours. As an aside, one of our vessels loaded the very first cargo from the new Beaumont terminal. Page 17, Europe's ethylene rationalization. As mentioned, European producers are facing a challenging position in the ethylene cost curve. Many of these producers are shutting down uncompetitive plants. The first graph is showing a downward trend in European ethylene production capacity. The good thing for us is that the Europeans are leaning towards U.S. to backfill lost ethylene production with imports. In July, the Europeans imported 75% of their seaborne demand from U.S., the highest portion on record. This trend is likely to continue. Instead of producing at high cost, they import from a more competitive producing country, i.e., the U.S. I've added Italy as an example. And you can see there's -- after shutting down their own production, there's a sudden spike in U.S. imports of ethylene. Page 18, U.S. ethylene exports. Even though U.S. ethylene prices have risen since April, which is the bottom left graph, the gray line, delivered prices in Europe have moved in lockstep. The theoretical transatlantic ethylene arbitrage is about $210 per ton for freight, more than enough to support the trade. In recent months, nearly all U.S. ethylene exports have gone to Europe, reinforcing the structural long/short dynamic between the 2 regions. Page 19, vessel supply. Vessel supply remains well balanced. just 12% of the handysize segment is on order or 9% if you exclude 4 CO2 carriers on order, and 22% of the fleet is over 20 years of age. So in summary, second quarter was messy at times, but July brought a welcome return to normality, higher utilization and rates maintaining well above breakeven. In addition to the day-to-day freight trading, we've been working on some other exciting developments, which Randy will talk to. Over to you, Randy.
Randall Giveans: Thank you, Oeyvind. So following up on several announcements we've made in recent months, we want to provide some additional details and updates on our recent developments. Starting on Slide 21. We're pleased to announce our return of capital for the second quarter of 2025. But before we get into that, I want to highlight that during the second quarter and specifically as part of our return of capital policy, we repurchased more than 234,000 common shares of NVGS totaling $3.3 million for an average price of $14.12 per share. Now looking ahead, in line with our return of capital policy and the illustrative table below, we're returning 25% of net income or a total of $5.4 million to shareholders during this third quarter. The Board has declared a cash dividend of $0.05 per share payable on September 17 to all shareholders of record as of August 28, equating to a quarterly cash dividend payment of $3.3 million. Additionally, with the shares trading well below our estimated NAV of $28 a share, we'll use the variable portion of the return of capital policy for share buybacks. As such, we expect to repurchase another $2.1 million of NVGS shares between now and quarter end, so that the dividend and the share buybacks equal 25% of net income or $5.4 million this quarter. Now continuing on the topic of share buybacks, let's turn to Slide 22. During the first quarter call in May, we announced a new $50 million share buyback program. And as you can see, the announcement was not just to make a positive headline, but we immediately put it to good use and recently completed the program by repurchasing 3.4 million shares at an average price of $14.68 per share. As you can see on the bottom left chart, we had about 56 million shares outstanding for many years, and that was up until the merger with Ultragas in 2021 and in which we issued 21 million shares in exchange for 18 vessels at an implied value of $16.82 per share. Since then, we've repurchased more than half of those shares back or 11.8 million shares totaling $166 million for an average price of $14.15 per share. For further details, look at the table in the bottom right, Slide 23. So as we said before, there are several compelling reasons for us to repurchase shares, buying them back at a discount, boosts the NAV per share, reduces the share count, increasing our EPS, supports the share price, diversifies the uses of cash to that 5 pillars of capital deployment. And as you've seen over the past few years and even more so over the past few months, returning capital to shareholders will remain a primary focus for us going forward. Now turning to our ethylene export terminal on Slide 23. Following the first quarter of very low throughput, volumes during the second quarter more than tripled to 268,000 tons as multiple U.S. Gulf ethylene crackers ramp production, resulting in lower U.S. ethylene prices, allowing us to utilize the flex train in both May and June. Looking at the bottom right chart, despite a recent increase in U.S. ethylene prices, European prices have also increased. So we expect third quarter volumes to remain firm near second quarter levels. And longer term, U.S. ethylene prices are expected to stay at an attractive level for the coming quarters and years. Additionally, with the widening of the arbitrage, we have completed multiple spot cargoes in recent months, many of which have discharged ethylene to new ports throughout Europe. As for contracting the expansion volumes following the original contracts, we've signed 2 new offtake contracts in recent quarters and many conversations with new customers are progressing. As such, we continue to expect that additional offtake capacity will be contracted in the coming months. Now on Slide 24, we are very pleased to announce our recent inclusion in the Russell 2000, the premier Small Cap Index and the Russell 3000 Total Market Index, further expanding our shareholder base and increasing our trading liquidity. So on May 23, the Russell Indexes announced their upcoming additions, including Navigator Gas in both. This is when the active managed funds start positioning their portfolios. Now on June 27, which was this year's reconstitution day, that was completed after market close, and this is a meaningful event, as you can see, 4.5 million shares of NVGS traded that day. Now as you can see on the chart on the bottom left, both our share price and our daily trading liquidity have increased since May 23. And taking a longer-term view, as you see on the table on the right, daily trading liquidity has increased significantly in recent years with a more pronounced step-up in recent months. Our trading liquidity has steadily increased despite that ongoing reduction in shares outstanding, as mentioned earlier. Now for the year-to-date 2025, we're averaging almost 400,000 shares traded per day, totaling almost $6 million per day, with several days well above $10 million. So with that, there are many funds that require around $5 million of daily trading liquidity. So we are now on the radar screen of a much larger group of investors. Now turning to our fleet. Starting with the first part of our fleet renewal on Slide 25. Our fleet renewal program continues to be implemented as we sell our oldest vessels and replace them with more modern tonnage. Starting with the divestiture. In May, we completed the sale of our oldest vessel, Navigator Venus, a 2,000-built, 22,000 cubic meter gas carrier to a third party for $17.5 million, resulting in a $12.6 million profit. That leaves us with only 2 of our original vessels built in 2000, and we continue to engage buyers who are showing interest in acquiring those older assets. Additionally, we expect to sell another unencumbered vessel during the third quarter, in line with current market valuations, resulting in a substantial book gain and cash inflow. So as a result of our recent sale and purchase activity, our current fleet is now 12.2 years of age on average with an average size of 20,816 cubic meters. Now looking at Slide 26, our average fleet age is set to decrease while our average vessel size is set to increase. In July, we announced a new joint venture in which we'll own 80% in Amon, our partner in Azane Fuel Solutions, will own 20% to construct 2 new 51,530 cubic meter ammonia-fueled liquefied ammonia carriers. The new buildings are scheduled to be delivered in June and October of 2028 at a price of $84 million each. Now importantly, each vessel will receive a NOK 90 million or $9 million grant from the Norwegian government agency, Enova, resulting in a net price of $75 million. And assuming 70% LTV debt financing, we expect the total equity needed to be only around $16 million per vessel, which will be split between ourselves and Amon. These vessels will be the largest in our fleet, are the dual fuel engines for clean ammonia, and we'll be able to transit both the old and new Panama Canal locks. Additionally, each of the vessels will be employed on a 5-year time charter upon delivery to a blue-chip industry leader. Lastly, in terms of vessel financing and capital needs, we've included that CapEx table on this slide, and we're currently targeting to complete financing arrangements within the next 6 months. Finishing on Slide 27, I want to personally invite all of you to our upcoming 2025 Analyst Investor Day here in Houston, Texas in a few months from now. On Tuesday afternoon, November 11, we'll be hosting our Morgan's Point tours of the ethylene export terminal and flex train as well as one of our vessels. So just take a picture -- take a look at that picture to the right and imagine yourself climbing on board that beautiful ethylene carrier and seeing the flex train operate in all of its blender. Later that evening, the management team and members of our Board will host a dinner for our analysts and investors. Then the next day, November 12, we'll host company and industry presentations covering current market trends, our financial update as well as our medium-term strategy. We'll then have lunch followed by an appreciation event for analysts, shareholders, customers and partners. And looking at the farmer's almanac, the weather is expected to be fantastic. So we hope to see you in November. With that, I'll now turn it back over to Mads for closing remarks.
Mads Peter Zacho: Thank you very much, Randy. And let's move to Page 28. So it's time to summarize an eventful second quarter, where waves of port fees and import tariffs and export licenses tested our resilience and negatively impacted our profitability. But we did not sit on our hands during Q2 because Q2 was also a quarter of opportunities where we took advantage of strong financial markets and optimized our balance sheet. We lowered the cost of debt and used excess cash for buying back 5% of outstanding shares at attractive prices. And we look through the fog and we took another step in positioning Navigator as a leader within not only the ethylene/ethane supply chain, but also the clean ammonia supply chain. Q3 has come off to a robust start, and we now see a normalization of our operating environment. By any further geopolitical surprises, we expect to be back on the previous trajectory. This will be driven by the continued growth of U.S. natural gas liquids production and the significant build-out in U.S. export infrastructure over the next 4 years. We expect this will support exports of natural gas liquids and thereby also transport demand for the products that we carry. And as in previous quarters, the vessel supply picture remains attractive with small handysize order book and an aging global fleet. So thanks a lot for listening, and I'll hand it back to you, Randy, now for the Q&A.
Randall Giveans: Thank you, Mads. Operator, we'll now open the lines for some Q&A. [Operator Instructions] So first question, your line is open.
Omar Mostafa Nokta: This is Omar Nokta, from Jefferies. As usual, very detailed presentation. And just had a couple of follow-ups to that. And maybe just in terms of the business from a big picture perspective, the -- obviously, 2Q was quite volatile with the geopolitics kind of really having a pretty significant impact. It sounds like from your commentary that third quarter and the second half in general is going to be quite a bit better. Just in terms of how we think about that, do you think 3Q as a whole can return to how things were prior to the second quarter? Or is it more of a gradual improvement you see in the third quarter, and it's really the fourth quarter where things start to get back to "normal."
Mads Peter Zacho: Yes. And I can't help thinking back to when we had this discussion back in the middle of Q2 talking about the Q1 result. At that time, we were looking at port fees that had disappeared for our segment. We also saw the trade war between China and U.S. kind of receding. But then came the export licenses, which were really a surprise. And even though at the time, we argued they were coming, they would be a bargaining chip. They did lead to some disruption and some reduced utilization for our fleet in Q2. So when we talked a quarter ago, I thought that maybe we communicated that we were seeing a gradual improvement, but then came this knock. That's different now because now the effects have gone away. And as Oeyvind was talking about, we see the utilization back up at just above 90% for July, and we can also confirm that the rates have reacted similarly. So we would say that Q3 as a whole is back to the levels that we saw before Liberation Day, and we see a normalization of the business in Q3, then we'll deal with Q4 once it comes. But so far, that looks good, too.
Omar Mostafa Nokta: Okay. Very good. So good to hear. And then just wanted to ask about the terminal contracts. You mentioned the 2 contracts were signed here recently for the expanded part of the terminal. And also, it sounds like there's potentially more in the works in the next few months. Just -- can you give us maybe a sense of what portion now do you have of the expansion that's now contracted? And then maybe overall, in terms of the 1.55 of total capacity, how much of that is contracted?
Randall Giveans: Yes. Thanks, Omar. We don't want to go into too many of those details because we're still having those commercial conversations. So we won't go into the quantum of the new contracts. But it's certainly a large portion. We have 4 existing offtake customers. We have multiple term sheets out to many new customers, especially here in the last few months when we've been doing a lot of these spot cargoes, they have been to new customers, right? So that's why we do expect additional longer-term offtake contracts to be signed here in the coming months. Duration still to be determined. Some want just a couple of years, some want multiple years, whereas in terms of size, it ranges as well. So there's still a lot of variables to be determined, but we should have more updates on this in the November call.
Omar Mostafa Nokta: Thanks, Randy. I appreciate that. I understand the sensitivity. And maybe just one final one, and I'll pass it back. And it's kind of maybe just back to the terminal in terms of the capacity of the 1.55 and the potential to ratchet that up to potentially as high as 3, depending, I think -- and correct me if I'm wrong, in terms of -- I think it's Enterprise, they sort of direct the flexing potentially of the volumes that would switch from, say, ethane to ethylene. And so as I think about or as we think about going into '26, do you know when that decision is made on how much of that capacity will end up being ethylene?
Randall Giveans: Yes, it's really going to be on a month-to-month basis. Now there's a few positive developments. One is the Beaumont facility, the Neches River facility is now online for Enterprise. One of our vessels took the inaugural cargo very recently here. So now that there's a new ethane export facility for Enterprise to operate out of, that frees up some capacity at Morgan's Point. Secondly, the new ethane storage tank, which you've been out to Morgan's Point, we have the ethylene storage tank in place for almost 5 years now. They are just now completing or soon to complete their ethane storage tank. So that will also give them more flexibility and some optionality around the cargo switching between ethane and ethylene. And it is an enterprise decision operationally, but really, it's a market decision, right? If the customers and the offtakers want ethylene, they can switch it to ethylene pretty much immediately, right? The damper setting is it only takes a couple of hours. So it's really going to be every week decision in terms of flexing between ethane and ethylene. But for those 2 positive developments, the new terminal in Neches River as well as the ethane storage tank will give us more optionality for more ethylene cargoes above and beyond the 1.55 million tons in coming years. Thank you, Omar. Next up looks like Climent Molins. Your hand is raised.
Climent Molins:
Value Investor's Edge: This is Climent Molins, from Value Investor's Edge. I wanted to start by asking about the ammonia carriers you recently ordered. Does the Enova grant come with strings attached? Or are those minimal? And should we think about the grants as a kind of a one-off? Or could this be repeated in the future?
Mads Peter Zacho: Thanks for that question. And there are always strings attached when it comes to grants. They're really linked to the -- you could say, the technology features of the ship, the add-ons that you would put on -- had it been compared to, you could say, a regular fossil fuel ammonia carrier. So this is for -- this is paying partly for the ammonia propulsion, but also many of the other bells and whistles that we are adding in terms of energy efficiency for the vessel. So it is to fund, you could say, the upgrade compared to a very standard vessel. But that being said, it doesn't mean that we need to burn, you could say, a high percentage of ammonia during the first couple of years. It doesn't mean that we can trade or we have to trade, let's say, near Norway or similarly. It is for global trading, and we have a lot of flexibility in operating these ships. So it's a very attractive grant because it doesn't really limit us in anything that we wanted to do on it. So it will be operated on Norwegian flag, which is a very efficient and professional flag. So in all aspects, this is a pure add-on and a pure benefit for us without any downside really. If the question is around whether it can be repeated, then the answer is yes because the Norwegian authorities are really interested in maximizing, you could say, the volume of new green propulsion, green shipping in the world. It's not quite likely that we can just do a complete carbon copy of this one. But if we were to be innovative and take a further step onwards, there would be opportunities for this. They recently granted another brand to Amon for bulk carriers, and there's more coming here also.
Climent Molins:
Value Investor's Edge: That's very helpful. And Randy, you mentioned you continue to engage potential buyers to divest the remaining 2,000-built handysizes. Once those vessels are sold, should we expect you to redeploy proceeds on more modern tonnage? Or have you already done that with the acquisition of the 3 mill ethylene carriers and the new build additions?
Randall Giveans: Oeyvind, I'll let you take this.
Oeyvind Lindeman: Yes. I mean once they are sold, the funds will go into the capital allocation program, the 3 pillars, and they will be distributed accordingly to which pillar we deem necessary at that time. So it's flexible. We'll put it to work where we deem it's...
Mads Peter Zacho: And maybe I can just add here that if you were to ask us if there was -- the likelihood was that we were going to buy more ships or sell more ships in the near term, it's probably going to be sell more ships because I think we have done quite well in both the new-building program and also buying the 3 German built vessels in the spring. So I think we've done most of the work there in renewing the fleet from adding new ones. And I think now we have a little bit of work to do in terms of selling a couple of the older ones.
Randall Giveans: [Operator Instructions] We've had one come in here, just looking at the tariffs. So it seems like the tariff announcements in trade news was negative during the second quarter. But recently, there have been some positive developments around trade deals. So Mads, how do you think these announcements will impact your business, specifically U.S. commodity exports going forward?
Mads Peter Zacho: Yes. I think they will bring much wanted clarity to the customer base of ours and for us to see that we will have a more stable trading environment. And that's always very positive. I mean, what happens is once you get this volatility, you don't quite know where the -- what the direction is, you tend to step back and say, "Oh, let's see how this all falls into place." I think now we have a number of trade deals between the U.S. and its major trading partners. There's still some details to be fully agreed on, but I think we have the overall framework in place, and that gives the stability and the ability for us to forecast for us and our customers, which is really what we've all been looking forward to. So again, we don't know what the future will bring. There will be unknown unknowns. But from how we can see it, we think it's a quite positive development that we get some clarity and some -- yes, some trade deals falling into place. And most of them, they don't really put any tariffs on products that are exported out of the U.S. and into the various other countries, it's mainly been leading to tariffs from imports into the U.S., and we don't do much of that. So in essence, there haven't been put tariffs on much of the transportation that we do.
Randall Giveans: Thank you, Molins. Gary, this one is for you. For the 6 newbuilding financings, should we expect similar terms as your most recent debt financings?
Gary Chapman: Yes. That's a very good question. We are hoping to at least match what we've done in the past. I think at the moment, we've got a number of different structures, and we've got quite a lot of conversations going on with all kinds of different potential capital providers. So I think given the nature of the ammonia vessels in particular, but also the [ Panda ] vessels, I think we've got 6 really attractive projects there, and we'll probably group those vessels, whether it's 6 or whether it's 4 and 2 or 2 and 4. But certainly, we will be looking to do those in the next 6 months. We've got plenty of opportunity. And I think the capital providers that we're talking to are very keen. And I think we'll get some really good terms. And certainly, we're shooting for as low as we can get in the best terms that we can get, and we'll see where that lands.
Randall Giveans: Perfect. Great. We see another hand raised here, Dalton. We still can't hear you.
Dalton Willett: Can you guys hear me okay now?
Randall Giveans: We got you now.
Dalton Willett: Dalton Willett with Sharmos Capital Partners. One question I had on the new builds that you guys are working on financing out. How do you think about the risk of like IMOs, new rules for how ships have to be fueled or carbon-related issues. How do you think about going and making those investments knowing that the goalpost could be changed in a 6-, 12-, 18-month period? How are you guys managing that risk?
Mads Peter Zacho: Yes. I think we should look at the 2 different orders that we've made. You could say the 4 ethane ethylene vessels that we ordered, they're not really -- they don't really have much of a link to whatever the IMO is putting into place. They will be most likely fueled by ethane, which is incredibly cost competitive compared to regular fuel oil. So they will be having an advantage to pretty much any other vessel in the global fleet regardless. When it comes to the 2 ammonia carriers, we have the 5-year contract coverage, which means that we will have a secured return on the ships for the first 5 years. And what then comes after, we will see. The good news is that those vessels are dual fuel. So even if we were to see a situation where ammonia was less competitive than we had forecasted, they'll still be able to operate very efficiently on regular fuel oil. So in that sense, they are very flexible vessels, and they are very attractive regardless of what the direction of the IMO is going to be.
Dalton Willett: Yes. No, that's helpful. And then on the kind of the restructuring of the balance sheet, getting yourself in a better capital position, can you kind of talk about the timing of that and why it made sense to go now versus, say, towards the end of the year? How are you guys thinking about getting your balance sheet where it is today?
Mads Peter Zacho: Maybe I can just kick us off and you can fill in, Gary also. When it comes to the share buybacks, I think we have been pretty consistent over the past 3 years in having share buyback programs at the right point in time during the year, adding or buying back about 5% of outstanding shares. And then on top of that, we have the regular quarterly dividends and share buybacks. That model has kind of worked well for us. So we think it's a good way to do it. It's, of course, up to the Board. If they were to decide to do something in addition or not, we'll see about that. We have good liquidity in the balance sheet right now. So it gives us a lot of flexibility to allocate between the different opportunities of investing, paying or buying back shares or other uses of our cash. But Gary, you can add.
Gary Chapman: Yes. I mean I think we've taken advantage a lot of the fact that there's a lot of liquidity out there at the moment. Navigator is in a great place. We've got a strong business, a flexible business. Our banking partners are very keen to work with us. That's allowed us to refinance and push out the maturities, lower the cost of our debt, and we're going to continue to do that. What that's also doing is it's providing plenty of liquidity for these projects that we're doing. We paid $64 million towards the cost of our new build Panda vessels already. We don't have finance for those vessels yet, but we've paid all of that out of cash so far. So it buys us some really good flexibility. We've got to be careful that we don't carry too much liquidity and too much cash, and we're constantly monitoring that. But I think at the moment, from our perspective, we've got a number of older debt facilities that we would perhaps like to refinance and refresh. And so I think there's some work to do on that and alongside the newbuild vessels as well. So I think we've taken advantage of a strong market using our strong business model to be able to do what we've done. We've ended up being able to do pretty much everything that we want to do, including buying back the shares, as Mads was talking about. So I think we're trying our best to be efficient with what we do, but also lower the cost of what we do. And I think we've been able to do that so far, and we expect to be able to continue to do that.
Dalton Willett: Great. Fantastic. I appreciate it. I think that's going to be the last thing I have. Pass it back to you guys. I appreciate it.
Randall Giveans: Thank you, Dalton. So that completes our Q&A for today. Thank you again for joining us for our second quarter earnings results. We'll be reporting our third quarter earnings results in early November and hope to see many of you here in Houston on November 11 and 12. Thanks again, and have a great day.